Operator: Greetings, and welcome to Regency Centers' First Quarter 2018 Earnings Conference Call. At this time all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to turn the conference over to your host Laura Clark. Thank you. You may begin.
Laura Clark: Good morning and welcome to Regency’s first quarter 2018 earnings conference call. Joining me today are Hap Stein, our Chairman and CEO; Lisa Palmer, our President and CFO; Mac Chandler, EVP of Investments; Jim Thompson, EVP of Operations; Mike Mas, Managing Director of Finance; and Chris Leavitt, SVP and Treasurer. I would like to begin by stating that we may discuss forward-looking statements on this call. Such statements involve risks and uncertainties. Actual future performance, outcomes and results may differ materially from those expressed in forward-looking statements. Please refer to our filings with the SEC, which identify important risk factors that could cause actual results to differ from those contained in forward-looking statements. On today’s call, we will also reference certain non-GAAP financial measures. We provided a reconciliation of these measures to their comparable GAAP measures in our earnings release and financial supplements, which can be found on our Investor Relations website. Before turning the call over to Hap, I would like to highlight to additions to our supplemental. First the enhance disclosure leasing capital on Page 19 and second and additive that outlines the components of NAV on page 30. In addition, we have added a section to our investor relations website for fix income investors. That features a mix income quarterly supplemental. We hope that you find these enhancements valuable. Hap?
Hap Stein: Thanks, Laura. The constant change in the retail business is nothing now the imbalanced and diversions between thriving surviving and losing retailers continues to accelerate. While the high store closures retailers that suffered from a combination of weak merchandising, poor service and overleveraged balance sheets are getting a lot of well-deserved publicity which not getting the appropriate amount of attention is the success of many retailers. All the evidence clearly demonstrates that physical stores will remain a critical component for successful operators. This includes digital retailers that are investing heavily in bricks and mortar and expanding that platform as evidenced by Amazon’s purchase of Whole Foods last year and is recently announced partnership with Best Buy. Wining retailers are continuing to report strong results offers customers compelling value, service and experience investing in technology and yes expanding into new brick-and-mortar locations. It’s really reported that last year there were roughly 4000 more store openings and closings across almost every category except for department stores. Publix opened over 40 new stores and redevelop another 132-last year. This year TJX plans to open more than 170 locations, Ultra 100 and Starbucks over 900 and these are just a few examples. Although disruption and change have forever characterized the word retail, the importance of having stores conveniently located to neighborhoods and communities with substantial purchasing power will remain relevant. This is why through this accelerating retail evolution Regency is well-positioned because we provide one of the critical ingredients of what retailers need to be successful. This is evident in the ongoing performance of our portfolio in the company. Year-to-date same property NOI growth was 4%, occupancy is nearly 96%, Regency's in-process development and redevelopment continue to perform well, four premier centers were required, we executed on our share repurchase program and successfully completed a 10-year bond offering an expanded our line of credit. Ongoing cumulative impact of the capital recycling program enhances the quality of portfolio through sales, value add development, redevelopment and acquisitions, ensuring we owned the must have locations. Most importantly and specially in this environment our talented team executes our plan while we preserve our conservative balance sheet. We are confident that Regency's unequal combination of strategic advantages will enable us to meet the challenges of the ever-changing retail environment and grow earnings and dividends by an average of 5% to 7% which will approximate a 10% total shareholder return over the long-term. Jim?
Jim Thompson: Thanks Hap. Regency's preeminent portfolio continues to demonstrate impressive results despite challenges in the retail landscape, even with decisions and rent commencement taking longer as retailers more aggressively negotiate terms and carefully evaluate impacts on existing locations our high-quality portfolio is more than holding its own at nearly 96% leased. In addition, new rent growth was 15% for the quarter. We continue to have success executing annual rent bumps setting the table for future same property NOI growth. Our annual rent increases on all leasing activities are at nearly 2%. This quarter we did experience a sequential decline in percent leased in the same property portfolio. This decline was expected as a result of seasonal move out as well as strategic anchor releasing enabling us to remerchandise our centers with top brands, including Whole Foods, HomeGoods and Ultra. Moveouts still remain at very low levels. The impact from bankruptcy in retailer closures continues to be minimal. We had no south eastern grocery locations on the closer list and our five locations, which are significantly below market are expected to remain operating. Turning to toys, as a reminder, we had five locations, which represent 30 bps on pro data annual base rent. We have recaptured four of our five locations one of which we were the winning bidder at auction and the fifth is awaiting final auction in early June. We had a very solid backfill prospects that include HomeGoods, [indiscernible] and Burlington, as well as Publix and Whole Foods. I'm very pleased with our ability to regain control of this real estate and the enhancements these remerchandising opportunities will offer our shopping centers going forward. Lisa?
Lisa Palmer: Thank you, Jim. Good morning everyone. I’ll start by providing an overview of this quarter's balance sheet and capital allocation update, and then turn to same property NOI and earnings guidance. This quarter we further enhanced our already strong balance sheet. We achieved very attractive pricing on our $300 million unsecured bond offering and also completed a credit facility recap with an upsize to 1.25 billion. This further expands our financial flexibility. It is this ongoing fortification that has and continues to position Regency to weather future challenges and profit from future investment opportunities. In regards to these future investment opportunities our development pipeline remains solid. However, we did revise development start guidance to reflect the push and timing of two projects that we now expect to start in 2019. Our updated acquisition guidance reflects the four premier acquisitions closed year-to-date with the excellent cap rates on those closed transactions. Disposition guidance was increased as a result of our 125 million share repurchase activity. As we mentioned on our previous call, repurchases are a component of our funding strategy and any repurchases will be leverage neutral. As a reminder that strategy is to sell 1 or 2% of low growth assets annually then together with free cash flow which approximates $160 million this year, investing the capital in outstanding value-added developments and redevelopments, high-growth acquisitions for our own stock at compelling pricing. Turning to same property NOI I'm extremely gratified by another strong quarter of same property NOI growth of 4%, driven primarily by base rent growth. Performance in the first quarter was slightly better than expected and we have therefore revised our same property NOI guidance range to 2.4% to 3.25%. Consistent with what we previously communicated we feel it is prudent to maintain a conservative approach for potential additional retailer fallout. Therefore, as a result we are maintaining our projection for higher move out levels than experienced last year. In addition, a deceleration and the positive impact coming from redevelopments in the second half is contributing to a moderation in same property NOI growth throughout the rest of the year. And now turning to earnings guidance, operating FFO guidance was increased to recognize the slightly better performance in the quarter and NAREIT FFO guidance was revised to reflect some noncomparable items that will occur in the second quarter. These include the one-time payment for the early debt redemption associated with our bond offering and a $1.7 million termination expense to recapture the Toys “R” Us lease at auction. These charges will be offset by more favorable interest rate on the new bond offering and the requirement to recognize income from the non-cash below market rent associated with the Toys “R” Us leases that were terminated. That concludes our prepared remarks and we now welcome your questions.
Operator: [Operator Instructions] Our first question is from Samir Khanal with Evercore. Please proceed with your question. 
Samir Khanal: Good morning, good morning Lisa, can you provide more color on the developments [indiscernible] I know that went down by 50 million.
Mac Chandler: Hi Samir, this is Mac, I'd be happy to take that question. As we mentioned we had two projects that we've been pursuing. The entitlements for both of those are not going to come to fruition this year so we've pushed those out to next year and that's the simple explanation for the reduction in guidance for '18 versus '19.
Samir Khanal: But generally, I just want to make sure that there remain, you haven’t seen any sort of pullback on retailers committing to new projects sort of given the headwinds we face on the retail side right, I mean it's not like these guys are suddenly getting cold feet and are not committing to projects, that's not the case.
Mac Chandler: No, that's not the case, we're very pleased with the amount of activity that's out there, there are many anchors including grocers which most of our projects have, are anchored by a grocer. If you look at Publix, Wegmans, HEV, Sprouts, Lucky, there's a healthy list of anchors that are out there expanding within their existing markets and often pushing into new market as well so. So, we haven’t seen that change, we also feel confident in our ability to continue with our development program, and that will primarily come from three sources. One, within our own existing portfolio so projects such as [market common Claritin], which is Arlington in that case, for example later this year we will start the redevelopment of the office building. Costa Verde is another example of a project that we own [La Jolla] where we’re playing a long-term development that will start in a few years. But plus, also the Equity One properties provide some very unique redevelopments and we are executing on those as well. And then lastly as we pursue new opportunities such as [County Country] that we talked about in the investor call. We think our platforms very uniquely positioned to allow us to capture development and we think there are lots of very compelling opportunities out there. 
Hap Stein: And then one of the other benefits that Mac mentioned is that it appears and all indications are that Whole Foods is expanding at a pace relatively to somewhere where they were several years ago. 
Samir Khanal: Okay, thank you. And I guess my second question is on the cap rates for the disposition pool, I know they went up to 25 basis points, what’s really the function of that is it sort of interest rates or moving up or is it sort of your digging into sort of the non-core or lower quality [ph] assets in your portfolio.
Mac Chandler: What we do sell are non-strategic, non-core assets. So that’s certainly part of it and as the pool of properties change we’re constantly revaluating which ones should make most sense to sell at which time, we looked at this pool and we increased that. And this isn’t new news but we've said over the last plus or minus nine months that cap rates on non-core, especially secondary and tertiary markets have expanded roughly 50 basis points, but we still see adequate market demand and multiple bidders to allow us to execute our disposition plan. 
Operator: Our next question is from Craig Schmidt with Bank of America. Please proceed with your question. 
Craig Schmidt: Lately there is been a spread between, market anchor occupancy between you and some of your peers. You have held up better. I just wonder do you think you can maintain this going forward. It sounds like your still little bit cautious on store closings but do you think you can maintain this positive spread that you've demonstrated in the last two years. 
Lisa Palmer: Hey Craig its Lisa. No promises, no guarantees but we feel really good about the quality of our portfolio and the fact that we've been very disciplined and since for as long, really for as long as I been at the company. So, for 20 years really disciplined about capital recycling and portfolio enhancement. So, you heard us say that we don't -- we believe that kind gap if you will is clearly by design and by the actions that we've taken really for again for as long as I have been at Regency and really focusing on continued capital recycling year in and year out and it positions our portfolio at the high-end of the quality spectrum, which allows us to slightly outperform when it comes to its anchor closures. I think, as you heard of say, our strategy -- our point of view is that there are going to be continued store closures, we expect that its incorporated into our guidance this year. But we also expect that with the quality of our portfolio our strategy is to own the [most cap] locations and when stores are closed and retailers are shrinking their actual store base they are still going to keep some stores open. And our strategy is to ensure that we own those locations that they are going to keep open and not only keep open but will be highly productive.
Hap Stein: Or in the case of Toys“R”Us where they are fully liquidating we will be able to replace those locations, more times than not with better retailers.
Mac Chandler: That is good news.
Craig Schmidt: I’m just wondering are -- you seem to have less exposure to the sports authorities and the toys of the world, is that you preparing your portfolio just to remain strong and avoid over dependence on [tenants] who look concerned with?
Lisa Palmer: I mean again, I think it comes back to the very consistent capital recycling so yes. When we are looking at our portfolio and we are identifying properties for disposition that certainly is something that we discuss, we are looking at. And we have been wrong in some cases. We are not going to be perfect. But we would like to try to get ahead of what we believe maybe potential fallout in the future. And we are not perfect but we do like to say the fact that we had limited exposure is by design it's not by accident.
Hap Stein: And there are cases for instance and Jim you can comment on this. We have a Toys Box and that we bought in [indiscernible] and I think that’s going to be the bad news there is going to be good news. So, either we are going to minimize the exposure to those retailers that are struggling but also in certain cases we got a box with a struggling retailer or a potential loosing retailer where we think that there is a meaningful opportunity to upgrade the merchandising that often from a risk standpoint.
Lisa Palmer: And that is also the case, it's not as if we didn’t -- obviously we had sport authorities we had Toys“R”Us. We were able to release those pretty quickly as a result of quality of the real estate.
Mac Chandler: I think the bigger issue is the quality of the real estate, we are not driven by tenancy from a long-term perspective. And as Hap mentioned the average [term] lease we bought out of -- at the auction out of bankruptcy, outstanding locations south the Aventura Mall in Miami with [indiscernible] we actually love this area, as you recall we have a recently completed redevelopment of a Publix just north of the mall. We have extremely deep tenant interest in this site and we are very, very excited about the opportunity to redevelop this shopping center with this adjacent -- the adjacent shopping center with Toys Box on the end. Again, it's turning bad news into good news at very accretive returns.
Craig Schmidt: It seems like we are on the cusp of kind of accelerating mixed use and densification redevelopment opportunities. Have you heard anyone new to help you in that area? Do you feel like you had the team in place?
Mac Chandler: This is Mac again, a couple of years ago, we saw this -- I’m not sure I call it trend but we saw this shift occurring and we hired two really important people as part of our team. One is a gentleman named Rafael Muñiz who's our Senior Vice President of Mixed-Use, he comes from multi family background and also we've hired an in house architect to help us really push our designs to make sure that they are more flexible and they incorporate the ability to add [indiscernible] later, so those were two big hires and then just as we have natural turnover, we're looking for more well-rounded people who can understand all product types and understand really the future where retail's going, so these are incremental changes, but this is not a new thing to us we've been through mixed-use project for really for 15+ years. 
Hap Stein: And our focus will continue to be, to have the capability and mixed- used to in effect be able to harvest the retail opportunity within those developments or within our existing portfolio, obviously it may make sense to partner with an office or an apartment developer with expertise and capital, but our core capability is retail and we got the expertise to take advantages of those opportunities that are there.
Craig Schmidt: Great, thank you.
Operator: Our next question is from Jeremy Metz with BMO Capital Markets, please proceed with your question. 
Jeremy Metz: Hey good morning, in terms of the same-store NOI guide you started the year feeling confident in the upper half of that range, we've obviously seen an acceleration of closings, or at least potential closings here, granted the time maybe an offset, but wondering if you still feel just as confident today in that upper end. 
Lisa Palmer: I'll reiterate what I said on the call, add a little bit more color first the first quarter came in slightly better than expectations which is reflected in the raise on the lower end. And we still believe that it's very prudent in this environment to maintain a conservative level of move outs in our projections. So, we're projecting move outs to be more similar to 2016 than '17. Again, that's what's incorporated into our guidance range, with that said I'll repeat that the first quarter was slightly better than what we'd expected, so reading through to that then you would expect that we still feel really good about achieving our strategic objective of 3% plus and it's what we're really focused on.
Jeremy Metz: Sticking with Lisa and one for Jim, I just wondered if you're seeing any shift in tenant minds in terms of how they're thinking about spaces or willingness to make some long-term decisions here and maybe even comment separately on the tone from your lease discussions have evolved to shop end boxes.
Hap Stein: Jeremy we're really not seeing a major shift in tenant desires for term changes and things like that. We'd see our pipeline continue to be very robust, we continue to upgrade the merchandising mix as we recapture space, when I look out at the landscape as to the basic health metrics that we look at, receivables back debt, rent relief request those are all will within historical norms, so as I look at the landscape I feel very comfortable and confident that we're in good shape today.
Jeremy Metz: Okay, I just one last quick one on the development starts, the shift here you talked earlier about no change to the tenant side of that but has there been any changes in the mindset or demand for municipal on adding more retail, that's driving any of the entitlement delays here. 
Mac Chandler: It's not a significant shift, generally in the affluent communities where we operate, cities are very engaged and so on one hand, cities in most cases promote retail because they need the sales tax, at the same time they are also pushing for quality and design and things are important on the local level. So not a significant shift there, where we generally have great success getting our projects approved but there is no shift in momentum either way. Takes time and we feel we do it right way and ultimately create projects that are very well received in the community. 
Jeremy Metz: Our next question is from Christy McElroy with Citigroup. Please proceed with your question 
Christy McElroy: Just as follow up on some of the comments you made on capital allocation and the context of the buyback activity in Q1, how aggressively are you going after acquisitions today if it all, it looks like there has been a little movement on cap rates on what you’re buying but it’s the strategy right now to hold off on any additional acquisition, focus on buying back stock and sort of waiting for potentially more cap rate moment and more opportunity or are you still looking at [deals].
Hap Stein: Number one I would say, we’re always in the market looking, but having said that, at this point in time indicated by our guidance where we are in relationship to our full year guidance we kind of basically hit the pause button and with the pause button started it made more sense to sell more properties and buy back stock. However, given where we are, we still got a lot of dispositions to do as Lisa indicated, our overall capital recycling basis is to be leverage neutral, so until we make more progress on dispositions then we will figure out do we want to buy back more stock or just kind of hold that point in time because one benefit that we had from our sales today and what we’re projecting is we’re able to sell those properties on tax efficient basis, whether will be able to continue to do that you will be an important component, what’s the impact on be on earnings will also be and we will be looking at. But right now, I think we’re consistent with free cash flow, sales on the upper end, at 2% purchasing about a $150 million of high quality acquisitions and bought back $125 million of stock. And once we’re further along, getting closer to $275 million in more ability then we make on that and we make the decision to make further potential investments to that point in time. 
Lisa Palmer: And obviously that’s currently how we’re thinking about it and maybe it might be good as just to remind everyone because we live and breathe every day. So I don’t want to take it for granted that everybody understands kind of how we approach the business and our business model, have said our goals is to recycle 1% or 2% a year it goes back to my answer to Craig, it gives us the ability to continually enhance the quality of our portfolio part of our business model will continue to be part of our business model and the fact that we, as Mac mentioned have unequaled development capabilities the way we think about it as we have taken that 1% to 2% property sales proceeds with our free cash flow and that’s our source of funds, that’s assuming we can't copy equity market. That’s our source of funds and we are investing all of those dollars combined into developments and then into acquisitions or in this case our stock repurchases. So, net, net we are a net investor and that investment activity actually is accretive to earnings. And that is how we think about it, it is in whole, it is not in individual parts.
Hap Stein: One other comment about in the market as there may be some modest amount of activity, very modest amount of activity within some of our joint ventures. 
Jeremy Metz: Just on CapEx thanks for the additional supplemental disclosures on the executed leases. Just looking at some of the inflow you were at about 55 million for leasing CapEx in 2017, you seem to be running at a similar pace in Q1. But you also had that pick up in TAs and landmark work on the leases that were executed in Q4. Should we expect any anomalies in terms of the pace of dollars spent as those leases commence in the next couple of quarters? Are you expecting similar piece in 2018 versus 2017?
Lisa Palmer: We have been running -- first let me -- just for clarification because it is new disclosure to what we were reporting in the supplemental and the actual committed because there are swings there. It's going to -- it will vary depending on the mix of leases that -- of lease activity that quarter but going forward for new leases you could expect that number to be in the $30 to $40 range and then overall when you blend in with all leasing activity it will be in the $4.50 to $5.50 range. So obviously there has already been some movement from those numbers. And then in 2018, we've been running at about 10% of NOI spend and in '18, we are projecting that we are going to be a little bit north of that, so about 11%.
Operator: Our next question comes from Rich Hill with Morgan Stanley. Please proceed with your question.
Richard Hill: I want to maybe go back to the portfolio term for lack of better term and maybe circling a little bit, focusing a little bit more on your ability to source attractive acquisitions this late in the cycle. Is it really more repositioning assets in current markets that you are in or do you think it's -- or do you see opportunities maybe in the markets that you're not operating in and finding the right property in that given market? How are you thinking about that? And how are you able to continually drive your growth through acquisitions?
Mac Chandler: As we stated before we are not actively out there looking to make many more acquisitions through the rest of the year but historically we have sourced acquisitions through really our local offices, our local teams as part of our strategies where with our 19 offices we are in the market. And we know properties even before they come to market. So, it's really a vast network of our professionals and our acquisition teams, so we have got great relationships with brokers with property owners and those people who typically sell properties. And generally, we are in the markets that we already want to be in, there is a couple of markets that we have considered going into, but we haven’t made any commitments on those. We are studying those. But, we have great coverage in the markets that we want to be in and that’s generally been our strategy.
Richard Hill: And then just maybe just one follow-up question, are you seeing any pickup in sales velocity that would allow you to increase your acquisition activity or is it still relatively stable at this point in time. 
Mac Chandler: I would call it sort of -- there is adequate demand to meet our plan. So, hasn't picked up, has been falling off, there are buyers out there and buyers who want to transact, so there certainly isn't -- we're not seeing anything that is suddenly increasing the amount of demand that would cause dispositions to increase. It's steady and it's adequate and we feel good about our plan for the year.
Richard Hill: Got it and so just to summarize all this it's really an up and improving the quality of your portfolio, selling lower quality assets maybe at slightly LIBOR cap rates, but redeploying that capital in more stable growth generating assets. 
Mac Chandler: Yes, the increase in NOI projected growth is a key part of it and it’s the quality of the center and the quality of attendance behind it and often that typically means a better-quality location as well.
Richard Hill: Okay, got it, thank you very much guys I appreciate it.
Lisa Palmer: Lock churn enhancement and we do think that I just want to reiterate, Mac just mentioned it in terms of the NOI growth and those assets that were acquired and being better it really is -- it's a critical part of fortifying future NOI growth for the company. 
Richard Hill: Understood, thanks guys.
Operator: Our next question is from Vincent Chao with Deutsche Bank. Please proceed with your question.
Vincent Chao: Hey good morning everyone, just a follow-up question on the discussion side. So, increase that to match the share repurchases in the quarter. So I think it's nice to see the execution on the share repurchase side, but just curious, I would have thought it would have been a little bit more accretive just because the share repurchases are done already and the additional dispositions will take time to close on, I guess, can you give some visibility on that pipeline, [indiscernible] and other demand, it sound like it's pretty similar to what you're seeing in the past, but I guess how much visibility do you have on the 275. 
Mac Chandler: Sure Vince, this is Mac. I'll just give an example, we have $50 million of properties that are under contract, another hundred that are on the market and the balance for getting prepared to take to markets, so we're underwriting in selecting brokers and what not, so we have work to do, we recognize that, but we feel good about the guidance that we've given and we feel we can execute that plan, basically throughout the rest of the year.
Hap Stein: Comment should be kind of pro rata in the second half of the year there's minimal closures in the second quarter.
Lisa Palmer: And we did, there is a little bit of uplift from that activity but you have to keep in mind there's so many other smart little combination of things that come in and out and we did raise our guidance essentially about penny the low end and don't forget we did have $1.7 million termination expenses that was certainly not expected.
Hap Stein: And buying out the Toys“R”Us lease.
Lisa Palmer: And buying out the Toys“R”Us lease, so that is offsetting some of that accretion from the share buyback.
Vincent Chao: Got it, that's helpful, and I'm just curious I mean a number of your peers who are also selling assets have been taking impairments as they bring assets to market, just curious if we should expect that from this pool of assets. 
Mac Chandler: We did have one impairment on an asset recently and it's one that we are intending to sell, it’s a property that we developed in the last cycle to larger property happens to be in the desert here Southern California. I don’t think we will typically see impairments on Regency owned assets, you might see them on Equity One asset only because those were valued at fair market value a year ago as part of the transaction and the basis for each of those properties also includes a portion of goodwill attributed to those and there has always been a year of depreciation. So, it is possibly you might see that on the Equity One properties that we felt were agnostic as to which ones we sell and we said before that our disposition plan is to sell those that are non-strategic, that generally have low growth profile and they are marketable, that the timing is right for selling them. So that’s certainly how we look at it like so much on whether the property has impairment or not. 
Operator: Our next question is from Nick Yulico with UBS. Please proceed with your question. 
Nick Yulico: I actually just want to follow-up on that impairment question, can you just explain, you said it was the one asset mostly related to but was that the asset you said you sold after the quarter for 10 million, is it the 8 million of assets held for sale in the balance sheet, just trying to figure out the impairment relative to the value, because it seems sort of large relative to some of those numbers.
Lisa Palmer: It is primarily related to one asset, it is an asset that I actually have not sold yet, we obviously targeted for disposition and I will try to not to go into any of the details on how impairment policies work but we had a triggering event at that asset with the Toys“R”Us liquidation and that essentially didn’t pass the test. So, we got the impairment, we took an impairment. It is a legacy Regency development, that we started in probably 2006. 
Hap Stein: In a non-target market. 
Lisa Palmer: It just had never, there had not been triggering event, it been passing impairment at this point in time and at this point it does not. 
Hap Stein: And we decided that we’re going to sell it with or without impairments that was not as Mac indicated an overall part of our decision. 
Nick Yulico: But this was not the asset that you mentioned in the supplemental that you sold. 
Lisa Palmer: We have not sold it yet. 
Nick Yulico: And it's not in your assets held for sale. 
Lisa Palmer: It is not. 
Operator: Our next question is from Michael Mueller with JPMorgan. Please proceed with your question. 
Michael Mueller: Couple of questions. First, what portion of the portfolio do you still have that you would say falls into that 7.5% cap rate disposition bucket.
Hap Stein: I think when we went through the analysis in investor day we broke down the portfolio and it was non-core assets that were 5% or less. 
Michael Mueller: Got it okay and second question, the Sara Monty redevelopment was completed. So, are there any plans for how your thinking about that asset, is it a long-term hold at a 100% maybe a JV a portion of it to fund development just curious how you are thinking about that today?
Hap Stein: We believe there is additional -- Mac can give the specifics but we believe there is additional upside demand through our [beneficiary] redevelopment as you're aware Mike, it's in an incredibly good location. And there are other opportunities there on the upside on that [shopping center]. 
Mac Chandler: The only thing I would add we are 97% leased now. We've had pretty impressive amount of unsolicited offers from junior tenants who come to us and asked if we can find some way to get them into the lineup because tenants are doing well there. So, we are evaluating those opportunities and I won't be [indiscernible] if we execute on some of those to continue to fortify the property and continue its growth.
Operator: [Operator Instructions] Our next question is from Wes Golladay with RBC Capital Markets. Please proceed with your question.
Wes Golladay: When looking at the higher move outs this year, is that more a function of anticipated bankruptcies? Are you seeing any lower renewal retention?
Lisa Palmer: Wes there is a projection of estimated move outs, so that we actually have -- we are still experiencing a pretty low level move out, so the actual experience is still at low levels. So, the projection is really across the board its incorporating some potential anchor closure, as well as potential follow up in the shop side.
Wes Golladay: And then when you look to competitively bid on assets and bankruptcy what type of returns do you target? And did you competitively bid on all the toys boxes or any additional one?
Hap Stein: Yes, we were prepared to bid on one other asset at auction and didn’t need to, there was I think a limited amount of term remaining under the Toys Box, so fortunately companies stepped into to start the bidding.
Lisa Palmer: From an approved purchase there was more going into the bankruptcy proceedings, I mean we put a lot of work into, what we think about it in totals from whether our redevelopment opportunities for that space and we underwrite essentially a redevelopment opportunity. And those returns will be in line with the rest of our redevelopments.
Operator: Our next question is from George Hoglund with Jefferies. Please proceed with your question.
George Hoglund: I was wondering what's your exposure to Sprint and T-Mobile stores?
Lisa Palmer: I don’t know that we have that …
Hap Stein: We will get back to you on that.
Lisa Palmer: It can't be very high, because it's certainly not anything that we have any focus on. But we will get back to you offline.
George Hoglund: And then just in terms of more potential store closings or bankruptcies that come down the line, do you think we get to a point where your decision-making process changes for the long-term of how you think about kind of you know lease amendments to tenants?
Hap Stein: I mean just for instance and Jim can add color to that, I mean, we were approached by Toys to do some renegotiations on the leases and we said thanks but no thanks. So, you're going to always evaluate every opportunity and every conversation with the tenant on some merit but we don't see any trend in that at all especially given the quality of the portfolio that's not to say that there aren't going to be exceptions to that for various reasons but that is certainly not an overwhelming trend, a meaningful trend.
George Hoglund: Thanks for the color.
Operator: Our next question is from Collin Mings with Raymond James, please proceed with your question.
Collin Mings: Hi, good morning everybody. Just two quick follow ups from me, I think just in response to Christy's question earlier on acquisition activity and capital allocation priorities I think I heard a reference to maybe doing more activity in joint ventures, just to clarify did you mean more acquisition opportunities potentially with JV partners, could you maybe clarify that comment and then more broadly remind us how you're thinking about your JV platforms in the current environment.
Hap Stein: We got you know several what I'd call core JV partnerships and we don't see adding to those JV partnerships. However, there's a certain amount of activity that occurs within each of those JVs. I would just reiterate there may be a modest amount of activity some recycling that's going to occur within those co-investment partnerships. Secondly, we do do a decent amount of development in joint ventures and joint ventures meaning we're in the case of town and country where we were brought in by the family that owned the land and owned the property and in the case of Ballard a [bine] institution that wanted our development expertise we came in on a 50-50 basis so they can have a partner you know with real capital and real expertise to help them mine the retail potential there.
Collin Mings: Okay, so really just kind of a continuation of the same strategy that you guys have outlined no change on the margin there, just kind of giving us a heads up that there could still be some acquisitions through a JV platform as opposed to maybe wholly owned, is that fair.
Hap Stein: Yes, but it would be-- from Regency's capital it'll be very modest in and out. 
Collin Mings: Okay and then just last one just going back to the disposition discussion obviously you touched on this in a lot of questions already but as you think about bringing in or starting to bring more properties to market, have you seen any interest from potential buyers any portfolio of your properties or do you think you'll see most of the sales execute more on a one-off basis.
Mac Chandler: Collin I'd say, given what we intend to sell, definitely one up on a one-off basis, given the property geography and the size and the differences between them we will likely execute all these on a one-off basis, maybe I could see a situation where there is two bundled together but nothing like a large portfolio sale.
Collin Mings: Okay, thanks for the time.
Operator: Ladies and gentlemen, we've reached the end of the question and answer session and I'd like to turn the call back to Hap Stein for closing comments.
Hap Stein: We appreciate your time and interest in Regency and hope you have a good rest of the week, thank you very much.